Operator: Good day, ladies and gentlemen, and welcome to the Churchill Downs Incorporated 2016 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Mike Anderson, Vice President, Treasury, and Investor Relations.
Mike Anderson: Great. Thank you, Lisa. Good morning, and welcome to our third quarter 2016 earnings conference call. After the company’s prepared remarks, we will open the call for your questions. The company’s 2016 third quarter business results were released yesterday afternoon. A copy of this release announcing results and other financial and statistical information about the period to be presented in this conference call, including information required by Regulation G, is available at this section of the company’s website titled News, located at churchilldownsincorporated.com, as well as in the website’s Investor section. Before we get started, I would like to remind you that some of the statements that we make today may include forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC, specifically the most recent reports on Form 10-Q and Form 10-K. Any forward-looking statements that we make are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today’s earnings press release. The press release and Form 10-Q are available on our website at churchilldownsincorporated.com. And now I would like to turn the call over to our Chief Executive Officer, Mr. Bill Carstanjen.
Bill Carstanjen: Thanks Mike. Good morning, everyone. With me today are several members of our team, including Bill Mudd, our President and Chief Operating Officer; Marcia Dall, our Chief Financial Officer; and Alan Tse, our General Counsel. I will make a few general comments about the second quarter, and then turn this over to Marcia. After she has finished her comments, Marsha, Bill Mudd and I will be happy to take your questions. The company produced record net revenues and significant growth in net income and net income per share for the quarter. However, we reported adjusted EBITDA that is down $4.9 million or 6.8% compared to prior year. Our Casinos TwinSpires and Racing segment are firing in all cylinders and all produced strong growth in adjusted EBITDA for the quarter for their respective segments. That being said, adjusted EBITDA overall for the company was lower primarily due to a $9.8 million year-over-year decrease from Big Fish. This is not the result we wanted to see for this quarter, because we relied on Big Fish, but note that the third quarter of 2015 has been a high watermark for Big Fish adjusted EBITDA and we have steadily grown Big Fish adjusted EBITDA and adjusted EBITDA margin each quarter during 2016. We continue to refine our investment and operational methodologies across our portfolio of game and hope recent performance improvements continue. I am going to spend time talking about all of our segments this morning, but we will dig a little deeper into Big Fish in a few minutes. Turning to our business segment. With respect to our brick-and-mortar casinos business, net revenue increased slightly over prior year, while adjusted EBITDA was up $3.7 million or 14%. Marcia will explain the variances of our prior year in more detail. I would just like to offer a couple of general comments. First, we are seeing a solid contribution from our Saratoga Casino investment in which we have a 25% interest as well as the management contract. That contract closed in October 2015. Saratoga contributed $1.8 million in adjusted EBITDA for Churchill Downs in the third quarter and we're pleased that the facility opened its new 117 room four star hotel in July, just in time for the height of the tourism season. The partnership entity through which we own our 25% interest in Saratoga is also our 50% partner in the transaction we announced in the third quarter to purchase the casino at Ocean Downs in Berlin, Maryland. Again, Churchill Downs will participate in this transaction by directly acquiring 50% of the Ocean Downs property, and we will also participate indirectly through owning 25% of the Saratoga entity that will own the other half of Ocean Downs, resulting an effective total ownership of 62.5%. We expect to close this transaction in the fourth quarter. As discussed last quarter, the Ocean Downs property is relative new having just opened in 2011 and is in a stable area unlikely to see new competition. The casino also has the right to install table games, but has not yet done so. It has approximately 800 machines, with a small capital footprint that is easy to maintain. Our partners in Saratoga introduced us to this transaction, and we decided to do it together. We have not disclosed the transaction purchase price, but the EBITDA multiple is very reasonable. This will be an accretive transaction that will be a nice addition to our portfolio of properties, and we look forward to getting the transaction closed. We do see some upside here. We also hope to close on our 25% purchase of the Saratoga Casino Black Hawk, Colorado before the end of the year. As you may recall this small asset was a part of the Saratoga transaction we announced in October of 2014. The closing of this part of the transaction is taken longer than we had hope due to the Colorado licensing process. We believe we are now very close to attaining approval of our Colorado license. Turning to current portfolio of properties, some of our markets remain better than others, but generally this continues to be a stable and predictable segment for us. In particular, our 50% owned JV Miami Valley Gaming, located between Cincinnati and Dayton, Ohio; and the Oxford Casino in Oxford, Maine have both been doing very well. Miami Valley, again, gained market share in the third quarter and Oxford is also growing its revenue and adjusted EBITDA very nicely. As we discussed in our second quarter earnings call, we're building a 109 room hotel at our Oxford Casino property for approximately $25 million. We hope to be open around the middle of next year. We're excited about this amenity. As you all know we like small capital footprints in order to minimize maintenance capital. So, it’s a big step for us to decide to add a hotel to our property. In this case, it just makes a lot of sense. Switching gears, our two properties in Mississippi and our Fairgrounds operations in Louisiana are currently experiencing challenging market conditions that are affecting the properties. In Louisiana, in particular, we see pretty clear evidence that the depressed Gulf Coast oil and gas industries are impacting our performance as well as the smoking ban in Orleans Parish, which went into effect April 2015 continues to negatively impact of our [Indiscernible]. To conclude on this segment across the portfolio of properties that are tied to local GDP and are geographically diverse, we're never surprised to see some areas doing better than others. Our operating teams are very focused on cost efficiencies and that helps us manage effectively to the bottom-line even in some of our markets that at any given time are more challenged for top line growth. The current macro environment seems relatively consistent with recent periods. We have no cause to expect significant changes and thus we will continue to be conservative in how we invest in and operate our properties. With respect to our racing segment, our third quarter is typically fairly quiet. We continue to work very hard under challenging market conditions to keep adjusted EBITDA flat to slightly growing. Racing is a tough business, but we know how to do it. And there are always technology improvements and efficiencies to help drive performance. As you may have seen last week, we announced the $16 million project for Churchill Downs' racetrack, which will be completed by next year's Kentucky Derby. As many of our investors understand, investment return for projects such as this is built almost entirely around the Kentucky Derby. We will improve about 95,000 square feet, including upgrades to several of our restaurants and seating areas as well as to our restrooms and common areas all in the second floor clubhouse area. We are not introducing a significant number of new seats overall, but we're very much improving the amenities of current seating areas as well as creating some new seating options. We are at the same time losing a similar number of current lower end seats as part of this project. We expect to generate most of our return from higher-end offerings and amenities. We continue to believe strongly in the Kentucky Derby, our signature event and the crown jewel of our company. We are excited about announcing future projects and continuing to make investments to improve the Kentucky Derby and drive growth. Turning to our TwinSpires segment, this segment of our company has performed very strongly, wagering or handle, as we call it, was up 14% in the third quarter after being up 16% in the second quarter and 11% in the first quarter. According to the industry resource, Equibase, handle across the industry as a whole was up a little less than 1% in the third quarter, meaning we outgrew the industry by over 13 percentage points. While wagering and horseracing has ranged from low single-digit declines to flat over the last handful of years. Our team is continuing to prove it can acquire new users and also improve revenues per existing user. While we continue to benefit from the trend of horse players moving their play online from traditional brick-and-mortar outlets, we extensively market for new players around the Kentucky Derby, the Triple Crown season and Breeders' Cup since that is when new and more casual fans enter or reenter the game. TwinSpires adjusted EBITDA was up $1.2 million or 9% in the third quarter. We thought this was a very solid result given we are moving the headquarters of TwinSpires out of Mountain View California to Louisville to be co-located with our corporate headquarters. We will fully accomplish this move prior to the end of the year, although our lease in California continues to the first quarter of 2017. There will be cost and capital efficiencies associated with the office move that will materialize in 2017 and 2018. As I noticed -- as I noted last quarter, we made the decision to move the business because we've built the technology and business capabilities in Louisville that we didn't have when we started this business back in 2007. With our office leasing costs in the Bay Area expected to rise significantly, and the challenge of attracting and retaining personnel increasing in the Bay Area we are excited to bring this business to Louisville. Several critical team members including Ted Gay, the President of TwinSpires are relocating to Louisville with the business. Now let's turn to Big Fish. Big Fish contributed $118.5 million of bookings and $23.4 million of adjusted EBITDA in the third quarter. Bookings were up about 4% compared to the third quarter of last year and down about 7% compared to the second quarter this year. Adjusted EBITDA was down 29.5% compared to the third quarter of last year but up 14% compared to the second quarter of this year. I will dig into this a bit more when I talk about each Big Fish segment, but generally, the year-over-year bookings growth compared to the third quarter 2015 in our Casual and Mid-Core free-to-play segments was offset by modest declines in our Social Casino and Premium segments and we believe the effects of the seasonally slower summer months magnified by the Olympics, a prolonged controversial election cycle and the phenomenon known as Pokémon GO. Before diving into each of the segments I want to describe some larger trends and themes that we are seeing. First Big Fish is rate of revenue growth has been declining over time and in particular this year and this is despite the fact that our user acquisition, our UA budgets as a percentage of revenue has been relatively consistent over time. In fact we took our UA spend as a percentage of revenues up above our historical average over the first and second quarters of this year when the early data on some of our new games like Sunken Secret and Dungeon Boss appeared to support it. So why do I mention this, it means we are generally seeing the less return on our UA spend as time goes on. So our marketing spend is becoming less efficient than it's been in the past. Now with respect to any individual game we expect that over time as the game matures and becomes familiar to the market, it gets more expensive to reach new customers, we can grow into a highly profitable ones. So this is the phenomenon we anticipated with respect to Big Fish Casino and Gummy Drop! which are both games that have been in the market for a fair amount of time and are familiar to many players who generally play these genres of games. What we learned with respect to these games is actually encouraging. We know we have good products that have stood the test of time while it's got more expensive to acquire new customers for some of these titles when we do reach them into a good job of keeping and growing their play can achieve high long-term returns. With these titles we have a better understanding of what the right UA level is to generate long-term profits. We also know that incremental improvements on these titles can greatly improve UA efficiencies and open up new opportunities for further growth. That's what we're doing with our Social Casino business. We are very hard at work introducing new community and social features into our flagship game Big Fish Casino and launching new Social Casino products like Jackpot City Slots filled with a deep understanding of the Social Casino genre. Early metrics on Jackpot City Slots are very encouraging, but we would best describe our disposition on this new title is cautiously optimistic and we will be measured in our approach to scaling UA in the coming months. With the renewed focus on this genre and the positive early results with Jackpot City Slots we are working on more Social Casino products and features that will launch in 2017. In essence one thing that I'm saying here is that we underinvest recently in a genre that is a core strength in a key driver of profits of long-term revenue Social Casino. We believe very strongly in the Social Casino space and in our ability to deliver quality product and innovation to this customer base. It's a critical Big Fish business and it deserves to be measured and run according to its specific performance over the last number years as opposed to being measured against new games that do not have as much of a proven track record. We believe we have a focus and strategy to return this segment growth. The flip side of this learning for us has been the realization that some of our efforts into newer genres like Mid-Core Dungeon Boss and simulation games with Sunken Secret have led us to overinvest based on limited short-term data only to see them not produce the long-term returns we see in our best products. Based on early data and compared to a prior successful games, we felt we have followed hits coming. We'll get our money back but we haven't seen the straight long-term LTV curves we experience in Gummy Drop! and in our Social Casino products. So its long lifetime value is necessary for sustained revenue growth. We will continue to evolve these lower performing newer games but they will not give significant UA budget, so they have improved and we have strong conviction around the long-term performance. This does not mean that we do not have good growth prospects with many of our games. That means that for limited history and data we had on some of our games cause inefficiencies and how we allocated UA budget early in the year. We're too aggressive with several titles and underfunded a few others while these were reasonable decisions given the data we had at the time the inefficiencies of this allocation has become clear as time has passed. And going forward we are adopting a more cautious approach to scaling titles with limited history regardless of how they perform early on. Going forward you'll see us continue to introduce many new innovative games in a variety of genres but will approach UA more cautiously. However the biggest area of product development and UA focus will be our flagship properties in genres where we have a long history of success like Social Casino and Match Three. We will continue to improve the games and continue to scale these games as their metrics dictate. At a divisional level we will keep a very close eye on UA investment as a percentage of revenues and are not likely to return to the high percentages you saw earlier in the year unless there is a very, very compelling investment case to do so where we have reliable data in a very strong conviction and a long-term return on that investment. So fair question asked and certainly we vested of our teams whether the declining yields we see in our UA investment is more than a reflection of the performance and quality of our games but also reflects increased competition and expense in the mobile and online advertising space as a whole. Yes, we think that is part of the equation. There are not only a lot to games, a lots of other products and competition in the internet and mobile segments. It's harder more expensive to get notice and there are ever-increasing places to spend time and money searching for online customers. That just puts a premium on being really good at marketing and analytics which we are and illustrates why there is more long-term to being a successful mobile games company that just making quality games. We will continue to focus on becoming best-in-class in all of these areas. As we look at the LTV curves of our various games over the last quarter without backer UA spend but we still spent $4.5 million, 21% more than we did in the third quarter of 2015. So that it fit -- the data set it made sense to do so. Again we are very focused on the long-term profitability and growth of each game. Long-term cohort value retention is really the primary indicator of the successful game. In short-term sharped LTV curves are not necessarily indicative of long-term cohort value. Here very good pipeline of new and for the most part inexpensively produced games that we expect to release in 2017. You'll see us with new offerings in the Social Casino, Match Three, Casual Puzzle and Mid-Core genres among others. These are genres that we increasingly understand from a game design, operations and marketing perspective. I think it is fair to say if you examine the recent history of Churchill Downs across our various businesses, we get smarter and perform better as we take the lessons we learned the hard. That's happening here. This business is built on growing or sustaining proven profitable games while efficiently introducing new games and features that we market and analyze quickly and effectively. We will see us improve on these core strengths over the rest of this year and in 2017. A few quick thoughts on each of our Big Fish segments. Free-to-play Social Casino, the growth rate in the Social Casino genre as a whole is started to slow and competition continues to stiffen as both major players and new entrants can compete in this very attractive space. While Big Fish casino continues to be a leader in the space, it also continues to mature as it has been a stalwart in the high position on the top grossing mobile apps list for more than four years. Combined our games in the Social Casino segment experienced an approximately 6.9% decline in bookings in the third quarter versus prior year and a 4.5% decline in bookings versus the last quarter. However we also saw an 8% increase in average paying users in the third quarter of last year versus the third quarter of last year. I'm not discouraged by any of this. Big Fish Casino remains a very stable and profitable business led by deeply experienced and capable team with a new UA investment focus and product feature strategy for this title is well-positioned for long-term profitable growth. We will see further improvements this quarter and next in our core Big Fish Casino and in Jackpot City Slots. We have no greater priority of focus across Big Fish than the Social Casino business. Now, onto our free-to-play Casual and Mid-Core segment as a whole our games in this segment experienced approximately 28.5% bookings growth in the third quarter versus prior year and an approximately 10% sequential bookings declined versus the second quarter this year. As we traditionally experienced seasonality in the summer month in North America, our largest market, and think as I said we saw some impact from the Olympics, the prolonged presidential election cycle and Pokemon Go, we were not surprised by these results, because I have discussed at length this morning we are not chasing bookings and are making sure our UA dollars are going to generate a strong long-term return particularly in free-to-play genres in which we do not have extensive historical data to analyze. Our portfolio has made up of highly profitable games like Gummy Drop!. Lower scale games where we are still analyzing and improving metrics before committing more UA dollars like Sunken Secret and extensive pipeline of new games several which are launching this quarter and next. We're getting at understanding responding quickly to the facts, but also giving tittles enough time in the market to gather data so we can set UA investment at an appropriate level. Finally, the Premium Casual Game division, our legacy PC and mobile pay upfront games business. This segment continues to experience secular decline, as has always been our expectation as consumer preferences shift towards free-to-play mobile products. This segment produces attractive margins by operating efficiently and sensibly and there are some early signs that the sector's decline is slowing. We have a lot of work to do to significantly grow our Big Fish segment over the long term and we remain very excited about its capabilities and potential. We feel that we understand this business better than ever and that we have the right synergy and team to succeed. With that, I would like to turn this over to Marcia to provide some additional details on the quarter. After that, we will be happy to take questions. Thank you all. Marcia?
Marcia Dall: Thanks, Bill and good morning, everyone. We are pleased that we generated $8.7 million of net income and $0.52 of diluted net income per share, both more than double the prior year quarter. We delivered record net revenue of $303 million, up $24 million or 8%. However, as Bill discussed, adjusted EBITDA was $67 million, down $4.9 million or 6.8% from the prior year quarter. These results collectively reflect strong operating performance by our casinos, especially from our Oxford main casino and the contribution from our equity investments in Saratoga and Miami Valley Gaming. We also continue to benefit from the growth in our TwinSpires business. As I will discuss in more detail in a few minutes, Big Fish Games was the primary driver of our record net revenue growth. Although, our adjusted EBITDA for this segment was down $9.8 million compared to the prior year quarter. When we reflect on the financials for the quarter, there are items that I would like to highlight for each of our segment. I will begin with our Racing segment. Racing revenue and adjusted EBITDA were both relatively flat in the quarter. With a strong September live race meet at Churchill Downs racetrack, with handle for the quarter up 13% compared to the prior year quarter. Our Churchill Downs on track handle grew as a result of an additional day of night racing resulting from a calendar shift and included the closing day of our spring meet in this quarter. And our export handle grew based on the variety of our factors including an improvement in starters per race and the positive impact of our Pick 6 carryover. Overall, the strong results for Churchill Downs were offset by slight declines in pari-mutual revenue at our Arlington Fair Grounds racetracks, along with incremental expenses at Fair Grounds. Revenue from our Casinos was up slightly compared to the prior year quarter. Our Oxford casino revenue was up $2.1 million on industry growth and increased visitation. Successful marketing and promotional efforts at our Calder casino also led to growth in new members and increased slot handle. This growth was mostly offset by softness in our Riverwalk in Mississippi and our Louisiana Fair Ground slot facility. The economic environment in Louisiana driven by a soft oil industry and heavy promotional environment in Vicksburg Mississippi created top line growth challenges for both of these properties. Even with this top line growth pressure, our Casinos segment adjusted EBITDA improved by $3.7 million over the prior year quarter. Our investments in Miami Valley Gaming and Saratoga contributed $2.7 million of this growth. Our Oxford main casino also added an additional $1.1 million of adjusted EBITDA compared to the prior year quarter. Turning to our TwinSpires segment, our revenue increased $4.4 million or 9% compared to the prior year. Handle increased 14.3% which was 13.5 points higher than the U.S. [indiscernible] industry performance in the quarter. Our active players increased by 8% in the quarter, driven by our continued marketing efforts around big events. As a result of this growth, TwinSpires delivered $1.2 million of incremental adjusted EBITDA. Turning to Big Fish Games. Big Fish revenue grew $18.7 million or 18%, reflecting strong growth in our casual and mid-core free-to-play games that was partially offset by a 6.5% decline in our Social Casino game revenue and continued decline as expected in our Premium game revenue. Big Fish Games had a $4 million or 3.5% growth in bookings from the prior year quarter. Our Social Casino bookings were down $3.3 million or 7% due to a 14% decline in average bookings for paying user that was partially offset by an 8% increase in average paying users. We launched Jackpot City slots in July, 2016, early indications that the game is performing well and as expected from a growth and users. However, due to its early life stage Jackpot City's growth is partly the reason our total casino segment average bookings for paying user were lower in the current quarter. Our bookings for casual and mid-core free-to-play games were up $11.5 million or 29% compared to the prior year quarter. The growth in bookings from our casual and mid-core free-to-play games was fueled by a 23% increase in average paying users and a 5% increase in average bookings for paying user compared to the prior year quarter. We did see a $4.2 million or 16% decline in bookings compared to the prior year quarter, as expected related to our Premium paid games. On a sequential basis, our bookings were down $9.4 million or 7%, reflecting the impact of the third quarter seasonality and other competition for entertainment time from a number of factors including the Olympics, the election, and other new games such as Pokemon Go. Big Fish Social Casino bookings were down $2.1 million or 4.5% on a sequential basis, as our Big Fish casino platform bookings declined was partially offset by sequential growth from our newer Social Casino title. Our casual and mid-core free-to-play bookings declined $5.8 million or 10% sequentially, reflecting the impact of almost $10 million of reduced UA spend on a sequential basis due to seasonality as well as concerns with the performance of new user cohort for some of the games that we invested more during the first quarter and second quarter of 2016. Some of the newer games in this segment performed well in the early months of the life of a new user cohort, but unfortunately didn’t ultimately continue to progress to meet our return expectations. Our Premium games declined 6% as expected on a sequential basis. As Bill mentioned, Big Fish Games did have a $9.8 million decline in adjusted EBITDA compared to the prior year quarter. Our $4 million increase in bookings was more than offset by a $4.4 million increase in user acquisition expense, a $5.5 million increase in platform fees, and a $2.2 million increase in developer fees compared to the prior year quarter. We also had a benefit from business combination accounting rules that was $1.6 million higher in the prior year than the third quarter of 2016. We were pleased with the $2.9 million sequential growth in adjusted EBITDA for Big Fish, as well as the sequential growth in adjusted EBITDA margin as a percentage of bookings from 16% in second quarter to 20% in third quarter. We anticipate that our UA spend in the fourth quarter will be relatively consistent in total with our third quarter UA spend. We do anticipate that there will be some shifting of UA spend between casino and casual and mid-core free-to-play games as we continue to optimize the allocation of our UA spend across our games based on performance and growth opportunities. Regarding free cash flow, we generated $14.3 million of free cash flow in the quarter. This was $9 million lower than the prior year, primarily driven by lower cash flow from Big Fish Games. Our total leverage was 2.7 times adjusted EBITDA at the end of September. And lastly, at our Board meeting this week, our Board of Directors approved an annual dividend of $1.32 per share to be paid on January 6, 2017 to shareholders of record on December 2, 2016. This reflects the 15% in our dividend and the sixth consecutive year of increased dividend. We are committed to using our free cash flow to support our growth organically and through acquisitions to pay down our debt, to pay our dividend, and to repurchase stock when it make sense to create long term shareholder value. With that, I will turn the call back over to Bill, so he can open the open the call for questions. Bill?
Bill Carstanjen: Thank you, Marcia. At this time, I think we are ready to take any questions if anybody have any.
Operator: [Operator Instructions] Our first question comes from the line of Cameron McKnight with Wells Fargo. Your line is now open.
Cameron McKnight: Good morning. Thanks very much.
Bill Carstanjen: Good morning.
Cameron McKnight: A question for -- good morning, Bill. Question on Big Fish, just sort of -- just joining the dots on your prepared comments on the top line and UA investment, it sounds as though we interpret the comments to mean that perhaps revenue growth will be a little more muted going forward that margins should improve over time?
Bill Carstanjen: Fair question. I always look at our lawyers as we start talking about the future. And generally there are some restrictions as you know. I would say this I think it's easy in this space and I think you can see it out there and other companies to chase bookings, but for us at the end of the day we respond to adjusted EBITDA that's how we want to run the business. So we want to focus on margins. We want to focus on smart long-term growth. So all things moving in the right direction are good, but the goal of his business is not to drive bookings. The goal of this business is to drive profitability over time. And certainly, we are increasingly thoughtful and considered with regard to how the margins look, especially since when you make UA investment, their long-term returns associated with that and you have to be careful about your margins at all times.
Cameron McKnight: Okay. Got it. Make sense. And as far as the change in UA strategy is concerned, did that happen during the third quarter or is that something that happened after the third quarter?
Bill Carstanjen: So that's something that we started to understand much better coming out of the second quarter. So that's something that is in play in the third quarter and certainly continues to be a part of our experience now.
Cameron McKnight: Okay. Sure. And then one more for me. I am the mix of game seems to be changing with casino -- casino in decline and decelerating premium in decline as expected and casual games growing. Does that change in mix over time have an impact on margins?
Bill Carstanjen: It certainly can, because I think the returns on games are different. Short-term -- some of the other genres in our experience have a different profile of customer participation. The customers don't stay in the games as long. But with the casino we have found that the customers that we acquired do stay in the game for an extended period of time. So focusing on that business is still within this space as a whole, the mobile and online game space. That genre we really, really like the most, because those customers are long-term customers once you acquire them. Now at any given point that you measure the first day you have acquired them, the first month you have acquired them, after you have acquired them or the first year they may or may not look as good as a comparison against some other genres -- some customers from another genre, a different type of game, but over the long-term these are great customers to acquire. So I think as we've gotten smarter -- and again I think our track record within Churchill if you looked at TwinSpires, the evolution of the TwinSpires business or the evolution of the Derby or the evolution of a brick-and-mortar casino, we do as a company get smarter at these things. We do talk a lot about these things. We focus on these things. We try to get smarter as a team. And I think what we've determined is the casino is a great genre to focus on, and we can't get trap and thrown off our game by seeing other games that start out hot and fast with steep LTV curve, but maybe don't hold those curves over time or we don't know if they'll hold those curves over time. We do know a lot about the casino space, not just our properties but the other properties we see in the market. So focusing on casino makes more sense for us now and over time, and it's not something we can never take our eye off that ball.
Cameron McKnight: Okay. Thanks very much, Bill.
Bill Carstanjen: Thank you, Cameron.
Operator: Our next question comes from David Katz with Telsey. Your line is now open.
David Katz: Hi. Good morning, everyone.
Bill Carstanjen: Good morning.
David Katz: So, I wanted to go back to Big Fish and I do appreciate all of the commentary around it. My question is when we look at this business today, do you have a plan and, you know, not asking for specifics in terms of near-term and long-term to type timing or anything like that, but is there a plan that could lead this business to double its cash flow or some, you know, the bigger growth profile than where we are? And I asked the question for two reasons. One, I feel as though, we may have been drawn into thinking about the specific quarterly performance which, you know, is more -- is less important really then that the bigger long-term picture of, you know, what return you think you can get on this investment ultimately. And the second part of it is -- of the question is, has the return opportunity for that business, has it shifted at all in some way since you bought it? Is it better in some ways than you thought worse than some others, or is it -- has it -- is this doing what you thought it was going to do when you bought it?
Bill Carstanjen: Okay. So there are a couple layers of questions within there. I am going to start -- and I appreciate the questions. Very good questions. Let me start higher end and then I will dig down deeper, and if I end up leaving off a segment of the questions unintentionally, remind me and we will return to it. So this space -- starting with this space so forget about our business for one second and just start with the space. The explosion of mobile devices and the role they play in people's lives not only in North America, but around the world is one of the remarkable stories in American business and our world business in the recent past. It's amazing how these devices have exploded in popularity and warm their way into everything people do during their day and how they organize their day. So when you talk about where people spend their time, mobile device is a good place to look. They spent a lot of their time on these devices. Look at where they spend their time within the device and where they spend their money, I know everyone wants to think that when they're bosses and they're issuing cell phones and mobile devices the people that they're using those devices to do work and they, I am sure. But you can also see by the raw numbers that people are using these devices to purchase games and to play games, and they spend more time doing that than any other one particular thing. So I don't see that changing. Keep your eye on that at all times, because it might change, but I don't see that changing right now and that makes this a good place for an entertainment company to look to invest to create more growth. So it's a good space to look. And when we look at our particular business, our business and other businesses that are in the space that this is still a relatively immature, undeveloped space, it's not a space that existed in the way it looks now five or 10 years ago. It's still a very evolving space with a lot of opportunity and a lot of change. So, of course, they're going to be winners and losers and you have to be smart about every element of this space to be a winner. But it still is very much a market where there's a lot of opportunity. When we looked at it, we thought what was important long-term in a space where games are not generally protected with deep levels of IP protection. We thought there would be some level of copycat games and commoditization of games particularly for casual games. So we thought we needed to be good at games. What we really need to be good was efficiently producing games and getting lots of swings at that. And what we really needed to be best at was after getting the games out inexpensively was marketing and analyzing the results of that marketing spend. So what we've learned so far this year is we need to be a lot better at that. We have the tools and the team and the processes and the culture, but there's a lot to learn in the space, because it's not a space with a deep history that anybody can rely on, let alone any particular company like ours. So what we talk about -- when we meet as a group and we look at the performance of our businesses, how do we get better and what we think the key attributes are to be successful in this space. What do we have to do, how do we have to invest to make sure that we've learned the lessons and taking them to heart from our prior experiences so that going forward we're a better company. So this is a space where you're going to see big long-term winners and you'll see lots of sorting out over time. Digging down into another level of your question, I really like where we are in the space. We have a foundation in Social Casino that maybe we didn't focus on as much as we should of, because we were a little bit dazzled by another component of our business which is the casual and mid-core free-to-play segment where you do see rapid growth in bookings on your UA investment. So put that aside I will talk about it in a minute. When you talk first about the casino piece, that's a very good business. It's a very stable business. It's a product that people like in the brick-and-mortar environment, and it's a product that's been proven over the last number of years that they like in the online environment. We're good at that product. We have to get better. We have to introduce more products and not just rely on the ones we have. We have to introduce more features and not rely just on the ones we have, and we will do that. We're committed to doing that. Moving into other genres, other casual games and mid-core games, there's a lot to learn there. We've had some success with the Gummy Drop! game and with some other games that we've introduced. But there's a whole bunch of learnings and there's a whole bunch of data to crunch there and to digest to get better at that space. But that's another area of growth that we like that we think is bonus for our investment in this space. I am going to shut up there now for a second. I think I covered the components of your question. If I didn't, let us know and we'll pick it back up.
David Katz: Well, you did get a lot of it and I appreciate -- I do appreciate the answer. But I think where, you know, perhaps the rubber meets the road is, you know, whether it's social gaming or a building or anything I think one of the things that we're trained to look at is you're allocating an amount of capital which all in was about 850. What is a reasonable payback period or what is a reasonable return on that 850? And how should we think about or how did you think about, you know, what those metrics could be? At the moment we're on a run rate that's, you know, $80 million, $90 million of EBITDA, is it possible and are you thinking about getting to run rate that's $200 million or $300 million or more than that over time, is that a realistic expectation of ours?
Bill Carstanjen: Again, I am slightly out of reach from our lawyer so you can't quite kick me under the table. David, I hope you can appreciate you are taking me. I have to be careful how I answer questions like that just to the nature of overreaching forward-looking statements. But I'm still going to answer it. We didn't buy this business because we thought -- because we approached it like, say a brick-and-mortar casino that we thought we had stable, but consistent cash flow that would potentially grow over time, but we would have efficiencies that we could rely on. We didn't approach it as a conservative investment like that where we thought we were basically going to acquire cash flow that was relatively stable and just changing based on GDP. We thought this is a space where there's opportunity for significant growth and significant change. We realize it's a space with disruptive technology possibilities and other risks over time, but we thought it was a space with a lot of opportunity. And our investment step beyond our core at the time into what we viewed as an adjacency, our investment was based on expecting to generate returns in excess of what we find within our core space.
David Katz: Okay. Fair enough. I have more, but I want to give someone else chance. So I will go back in. Thanks very much. Appreciate it.
Bill Carstanjen: Thanks, David.
Operator: Our next question comes from the line of Dan Politzer with JP Morgan. Your line is now open.
Daniel Politzer: Hey, guys. Thanks for taking the question. Sorry just another one on the shifting of the UA strategy. I mean, you guys are kind of keep moving away from the casual mid-core free-to-play it sounds like and shifted more towards Social Casino. Obviously the free-to-play area has been the fastest growing segment, while Social Casino has been kind of taking down and this is an area you talked about stuff level of competition. So I am just trying to piece together if you could opine more on your rationale there.
Bill Carstanjen: Sure. Yeah, I didn't mean to say that we weren’t going to focus on are that we had shifted away from free-to-play mobile and casual. I didn't mean to suggest that. I think there's a lot of opportunity in that space. I think we need to be smarter about our UA dollar particularly early in the life cycle of games. The point I was making was I think we -- fairly evaluating us I think we're a little dazzled by some of the early returns that we saw in those games. But those games over time don't match the consistent long-term curves that we see in casino. So I think it was a good reminder of it for us over this year to make sure we focus on what we know is there for sure and to be a little more conservative and careful as we explore the mobile mid-core and casual space. We know how to do gains in that space. We have a great series of studios both internal and external that we can rely on to produce games that are competitive with the games in the marketplace that are successful. So we'll keep playing there. We're just going to be really thoughtful about being better at what we need to be best at long-term to be a player in this space and that is marketing analytics.
Daniel Politzer: Got it. And then I am actually going to ask a question that is not on Big Fish. Could you just give us an update on some of the greenfield options and the legislative situation in Illinois and I guess Kentucky to that end. I mean, how are you thinking about Arlington? What are the different variables that go into your thought process therefore for how you could potentially monetize that asset?
Bill Carstanjen: Okay. I am feeling a little bit guilty, because mostly in these calls the team Bill and Marcia get to answer bulk of these questions and then the way this call in particular is gone that hasn't been possible today. But since we're talking really sort of legislative, I am going to -- I am going to jump in on this one and then start. You guys jump in as you see fit. So Illinois is an extremely attractive greenfield opportunity and twice we've gotten through the legislature -- slot legislation that would allow us to put slot machines at Arlington Park and twice we were essentially blocked by the executive branch, the governor branch. There's a different governor now. But the environment in Illinois has also changed in the sense that there haven't been a budget in Illinois for a period of time. And there's been a sort of gridlock in the Illinois government -- state government. So they are really in my opinion hasn't been -- this hasn't been an issue of the attractiveness or our ability to get gaming through the legislature or the will of the legislative body in Illinois around alternative gaming. This has really been our issue getting trapped and caught up in some of these larger Illinois issues and Illinois political issues. So that's something that we evaluate constantly and look at constantly. And if it were an answer of there's no will for this. We don't want this. That would be something we would have to think through and respond to, but that's not been where we've been. Instead, it's been understanding and respect for our issues in the state, but they're minor issues compared to the issue that are driving politics within that state, particularly around budgets and underfunded pensions. All those things suggest over time for an additional source of funding to help on those issues. But those issues drive the agenda, not our issue. So we've been patient. We continue to be patient, and that's where we are on that right now. In Kentucky, pretty conservative state. May be getting more conservative. We will have to see. But right now I don't think for slot machine gaming there is any expectation that that is in the near-term a realistic possibility. That's just the current political environment that we're in. A number of other tracks in the state have implemented a product called historical racing machines or instant racing machines, we have not done that. We have not implemented that product. But another -- a number of the other tracks in the state have implemented that and we continue to watch the legal issues around that product, but also just performance of that product because right now that is the product that is the only one on the horizon.
Daniel Politzer: Great. Thanks a lot guys.
Operator: [Operator Instructions] Our next question comes from the line out Adam Trivison with Gabelli & Company. Your line is now open.
Adam Trivison: Hi, everyone. Thanks for taking my question. Focusing on the Social Casino segment at Big Fish, if you look at the 8% paying user growth offset by the 14% decline in bookings for paying user, it would seem that part of this is due to the introduction of Jackpot City and the growth of the Vegas Party Slots games. Can you kind of separate out that the mix of those players coming into the base versus the trends at Big Fish casino? And maybe just monetization of those two games versus the legacy platform.
Bill Carstanjen: So, I am going to talk conceptually. I don't think we disclose that that level of detail about how these businesses function and don't have that, so I am not going to be able to disclose the specifics.
Adam Trivison: Okay.
Bill Carstanjen: Talk afterwards on whether we should be, but I am not sure we want to go into that level of disclosure. But generally when you acquire a player into a new game like Jackpot City or Vegas Party Slot, they become great customers over time. So, at first they come in the game. They monetize at a more modest level. And then over time as they take advantage of bonus cycles and features and functionality in the game and they get more interested and committed to the game, you grow their participation economically in the game. So when you introduce new products you're going to find that, you know, your average revenue per user is going to drop because new customers in a new game do not produce like more mature customers in a more mature product. But with any mature price product like we have with our Big Fish Social Casino, our flagship product, you're going to find that players sort of get -- there are other players that get to the end of their life cycle in the game and they bleed off. We find that in TwinSpires. We find that in Horse Racing. We find that in brick-and-mortar casino. So you're always trying to grow at a rate where you can grow your new customers -- more customers and get them to a higher average revenue per user to make up for the fact that you do see natural attrition in any mature product.
Adam Trivison: Okay. That makes sense. That's helpful. And then it looks like you had higher Big Fish developer and platform fees relative to bookings. Is that a function of game mix, or something else and will that reverse with this change in strategy?
Bill Carstanjen: That's mostly -- again, I am dominating the answers to these questions which is what it is this time. But most of the platform fees are really -- what Google and Apple charges us when revenue comes in through their stores. So Marcia, do you want to add to that? I think you do, so go ahead.
Marcia Dall: Yeah, so, it's basically tied to the revenue recognition. And, Adam, just as you mentioned there is some increase in that as a percentage just due to the mix. I talked about it at our last quarter earnings call related to the fact that free-to-play becoming a little bit larger part of our revenue mix, that means we are going to recognize more platform fees associated with that. So remember the revenue recognition for free-to-play is over four months.
Adam Trivison: Okay. That's helpful. Great. Thank you very much.
Operator: We have a follow-up question from line of Cameron McKnight with Wells Fargo. Your line is now open.
Cameron McKnight: Thanks very much. Just circling back to Social Casino. I think maybe four quarters ago or three quarters ago, could have been longer, you mentioned that Social Casino was an area that had become much more competitive, a lot more promotional. Has that changed, or has -- or is your attitude towards Social Casino changed?
Bill Carstanjen: Yeah, I think -- I think it is a competitive environment and I think there are some established players and we are one of them, and then also there's still plenty of evidence the show that new games can come in and make a difference. I think the learning for us is it has been over the last number of quarters how good it is when you acquire these customers that they are more sticky than what you find in other games and that makes it worth it to cycle through some of the disadvantages of a competitive space, but these are good customers when you get them. Bill?
Bill Mudd: The other thing I would add, Cameron, is the things changed to as we get new product called Jackpot City Slots which is a Big Fish develop product, whereas the Vegas Party Slots was a third-party develop product. But the Vegas Party Slots product, very good product we found that. We've been advertising Big Fish so many times. People have seen the brand, they have seen the product. They're not -- it's tougher to find new customers they haven't heard of it. Whereas you come out with a new brand with new product, people go try that because they haven't seen that brand yet. So it's a lot more effective to put marketing dollars work on a new brand if people are not familiar with yet.
Cameron McKnight: Okay. Thanks. And then one follow-up. Can you just talk about the buyback program and capital returns and the strategy?
Marcia Dall: Yean, Cameron, as I mentioned in my comments, you know, we -- every quarter, every month as we go through we think about things around, you know, using our free cash flow to really support our growth. We look at whether there are acquisitions on the horizon related to the need for cash flow. We also, as you know, are very focused on paying down our debt. The business has a great discipline over the history of the last five to 10 years of just really -- when the leverage goes up based on acquisition and focusing on paying down that debt after the acquisition which gives us greater flexibility going forward. We do also think about the amount of our dividend is part of what we'll use our cash flow for. And then opportunistically we look periodically whether it makes sense to buy back shares in the market in the open market period. So, although, we did not buy any back in third quarter as you know we bought some back in second order, and we may buy back additional shares in future quarters. So we have $135 million share repurchases authority available to us based on Board approval earlier this year, and so you may see us in that area over the coming year. Again, we're really just focused on creating long-term shareholder value.
Cameron McKnight: Okay. Thank you very much.
Operator: We have a follow-up question from line of David Katz with Telsey. Your line is now open.
David Katz: Hi. Thank you for allowing me back in here. I wanted to just ask about more of a big picture question about value, because if we look at where your stock is trading next year and I recognize this is more our job, it suggests that there are some regional casinos in there, there's a trophy level asset in the Kentucky Derby and the Churchill Downs track, as well as Big Fish game. My point is, do you think about strategies to establish or capture more credit for what you have? We've seen M&A deals in regional casinos at higher levels than where your stock is trading. We've seen some trophy type assets and some other deals, you know, trade and we've also obviously seen some public market deals in the online space that are compelling also. You do -- how do you think about strategies to raise awareness to the value that you?
Bill Carstanjen: Well, David, in some sense these are obviously good challenges to have, good problem to have, do you think that the market doesn't understand the true value of the company, that's a good problem to have. There are plenty of companies that have a reverse problem. That said speaking as a member of a management team, we need to go out and perform everyday and every quarter. And there are lots of theories and there are lots of ideas and there are lots of smart people that have great ideas about structure. But the fact is we're always just around the corner from the next call like this and we need to produce results. So the bulk of our management time, mine included, only focuses on building these businesses successfully. And then we use our time with the Board and with our advisors to listen to other ideas and theories out there and to watch the markets around us to see what other people do to prove out some of the theories of additional ways to create value. So we're all obviously incensed focused on understanding the market and the evolution of structures. We're all very incensed to do those things -- pay attention to those things I should say and to understand those things and those options and we try to put on a day-to-day basis. If we spend too much time worrying about stuff like that we're not going to get our day jobs done. And it's important that for all the businesses that we have to get our day jobs done and position those businesses to grow as best as we can get them to grow. So I know that's not a totally satisfying answer to you. But I guess if I had to summarize, I would say, yeah, we pay a lot of attention to the type of issues that you're talking about. And there are lots of theories and there are lots of ideas, but reality is we need to build this company for our shareholders that we have and we need to build it today and then we need to be at work tomorrow, building it tomorrow.
David Katz: I appreciate that and I hope you appreciate that it's a discussion that comes up with investors and perspective ones and that's why it's being asked.
Bill Carstanjen: Absolutely. Thanks for asking.
David Katz: Sure. Thanks for your answers.
Operator: I am showing no further questions in queue at this time. I would like to turn the call back to Mr. Carstanjen for closing remarks.
Bill Carstanjen: Thank you very much everybody. I appreciate your time on the call this morning. I appreciate your interest in our company, your investment in our company. We will work hard not to let you down, and we will talk to you next time. Thanks everyone.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone have a great day.